Operator: Ladies and gentlemen, thank you for standing by. This is the conference operator. Welcome to the Barrick 2022 First Quarter Results Conference Call. During the presentation, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference call is being recorded, and a replay will be available on Barrick's website later today, May 4, 2022.  I would now like to turn the conference over to Mark Bristow, Chief Executive Officer. Please go ahead, sir.
Mark Bristow: Thank you, and very good morning, and good afternoon, ladies and gentlemen. The world today is facing the greatest period of economic, social and geopolitical disruption it has experienced in more than a generation. Russia's war on the Ukraine and its expected larger ambitions could redraw the map of Europe, breaking down what everyone thought was a permanently settled order. This is already having a painful economic impact on many countries who are dependent on Russian oil and gas, but also on industries worldwide who are facing serious supply and logistics challenges in a rising inflation environment. Meanwhile, over in China, COVID has come back in a big way, dispelling any nation that the worst of the pandemic was behind us. All in all, it's a time of radical change and no one knows how it's going to turn out. As far as Barrick is concerned, however, scenario planning is an important part of our regular strategic reviews and they keep us prepared for all reasonably conceivable outcomes, including the worst case ones. Our global presence means that our risks are spread widely and the strength of our asset base, our balance sheet and our management gives us confidence in our ability to navigate the turbulence.  Please take note of this cautionary statement, which is also available on the Barrick website.  These are the salient features of the past quarter. As we messaged, production was softer than the previous quarters for reasons I'll explain later. As planned, we expect that the second half of the year will be stronger, which should keep us on track to meet our annual guidance. Our best assets generally performed well with Loulo-Gounkoto delivering exceptionally good results. Other highlights of the quarter include the in-principle agreement with Pakistan for the restart of the Reko Diq copper gold project, which we believe will be a Tier 1 asset by any measure. Also important was the progress we made with the permitting process of Pueblo Viejo's new tailing storage facility, which will transform what is already a Tier 1 mine by adding more than 20 years to its life and as much as 9 million new ounces to the reserves. As we expected, as we expand globally, we continue to strengthen our management team through a number of senior appointments and effective succession planning has facilitated the smooth transition to new chief operating officers for our North American and African and Middle East regions. ESG, what we call Sustainability, remains high on management's priorities. And last month, we published our fourth annual sustainability report, which highlighted the importance of our integrated approach and updated our greenhouse gas reduction roadmap for the journey to net 0. We haven't seen the report -- if you haven't seen the report yet, I would suggest that it's well worth the read. So turning to the numbers. Robust operating and free cash flows and a net cash position again strengthened the balance sheet and supported Barrick's inaugural declaration under our new policy of a $0.10 per share performance dividend, which effectively doubles the $0.10 base dividend. It's also worth noting that Kibali has now paid out $1.2 billion on a 100% basis over the last 6 months, cleaning the backlog of a locked-up cash in that country. The past quarter's gold and copper production provided a base from which performance will improve steadily over the course of the year. We remain on track to deliver within our 2022 production guidance. Cost guidance may be at the higher end of the range, due mainly to the increase in global energy prices as well as the inflationary pressures across the global supply chain and the effect of a higher gold price on royalties. At the start of the year, we guided costs by about 5%. And with the recent increases in prices, we see this potentially adding around another 3% to costs. And on the financial side, our improved net cash position of $743 million was driven by operating cash flow of $1 billion with free cash flow of $393 million. The distributions received from Kibali and the continuing monetization of equity positions arising from the sale of non-core assets. Also worth noting is that during the quarter, S&P upgraded our long-term corporate credit rating to BBB+ from BBB with a stable outlook. We also published our first standalone Tax Contribution Report, which highlights the significant contributions we make to the countries and economies where we operate. We continue our health and safety journey to zero harm but an otherwise credible record was sadly marked by 2 fatalities during the quarter. As you would expect, we take these events extremely seriously. And among other initiatives, we have increased the on-site engagement and visibility of operational leadership to ensure that these do not happen again. By the end of the quarter, 67% of our entire workforce had been fully vaccinated and there were very few active cases on sites across the group. As recent events have shown, however, we can't afford to drop our guard. And so we're keeping our protocols in place and updating them on a regular basis. There were no Class 1 environmental incidents during the quarter, and we again improved our water use efficiency, which at 84% was ahead of the annual target of 80%. Greenhouse gas emissions also decreased by 9% quarter-on-quarter. As 1 of the Group's many community initiatives, Nevada Gold Mines has provided a $30 million loan for the provision of a broadband Internet service to the surrounding towns. And elsewhere across the Group, they've spent $4.9 million on community development projects. The sustainability report I mentioned earlier details our evolving approach to ESG management. It recognizes that global crisis, such as climate change, poverty, access to water and biodiversity loss are inextricably linked and should not be treated in isolation. We believe that it's only by integrating these challenges and approaching them holistically that we will be able to make a real difference. Our 2019 sustainability scorecard was the first for the industry. And the 2022 addition, again, features a number of firsts, alignment with the reporting standards of the various ESG guidance frameworks, public disclosure of our Scope 3 emissions and a reduction roadmap, a report on social metrics not aligned to dollars spent and a biodiversity standard and water policy. It also updates the greenhouse gas roadmap that plots our course to net zero and the progress we're making on resolving legacy issues. This year's report again updates our sustainability scorecard, which rates our performance across a wide range of key metrics. While noting many improvements, we achieved our third overall B grade, an honest acknowledgment that fatalities are not acceptable, and there is still a lot of work to be done with regards to our drive to zero harm. We start the operational report with the North American region, where Nevada is home to 3 of our Tier 1 mines as well as many of our more interesting future prospects. At the same time, we continue to progress the giant Donlin Gold project in Alaska with an intense winter drilling phase as we search for more opportunities to grow our business in the Americas. These are the operating results for the Nevada Gold Mines. As expected, production was lower following the record quarter 4 performance driven by the processing of high grade stockpiled ore while the gold strike mill was being repaired. Plans are in place and KPIs are being monitored closely to ensure that the full year guidance will be met. In the meantime, Turquoise Ridge's third shaft is on track for completion this year, which will continue to support operational improvements there. Results from drilling across the Nevada projects continue to highlight the huge potential of these systems as new targets are developed and resources are expanded. At Turquoise Ridge, geological modeling of the BBT Corridor to the South highlighted the potential for significant additional ounces, which are early -- with early drill results indicating this opportunity. Drilling between and within the legacy Twin Creeks and Turquoise Ridge operations is transforming our understanding of this area, and we continue to make changes to the models with implications for exploration. One of the strongest untested geochemical anomalies in the district has been identified at the fence line target on the legacy boundary between the 2 operations and shallow drilling is in progress to define vectors for a deeper core drilling project later in the year. North Leeville continues to grow as we step out around the maiden resource of 700,000 ounces declared at the end of last year. Resource delineation drilling is defining additional ounces, whilst further drilling is planned to test the open extensions of high-grade structures around the deposit. North Leeville remains one of our highest potential near-mine satellites in Nevada. And REN is another expanding opportunity. Last year, we declared a maiden inferred resource of 1.2 million ounces and recent results have not only confirmed the model, but have continued to expand the JB Zone resource to the South. Mineralization remains open at both JB and Corona Corridors. We have initiated various mining studies on the geotechnical ventilation and dewatering parameters to optimally design this part of the mine. Over now to Latin America and Asia Pacific, which ended the quarter having made significant progress with its growth projects. In PNG, we continue to get closer to reopening the mine following the passing by parliament of legislation necessary for our agreed fiscal arrangements. We expect to complete the remaining outstanding agreements in the next quarter, below our planned midyear restart is expected to be delayed by 1 more quarter. Pueblo Viejo, as I indicated earlier, is a solid Tier 1 asset, which delivered a plan regarding production and costs on the back of record throughput, which bodes well for the future long-term performance of the operation. The new tailings storage facility, a key part of the transformational upgrade and expansion project is continuing to advance down the development path with the ESIA application expected to be filed in quarter 3. And that Veladero, the mine delivered on a planned lower production for the quarter despite being partially impacted by COVID-related absenteeism in January and the mine remains on track to meet the 2022 guidance. Construction of the Phase 7 leach pad also remains on track with the second phase expected to commence in the final quarter of this year. You will have also seen the announcement of our agreement with the government of Pakistan and the province of Balochistan to reconstitute and restart the Reko Diq Project, which has been waiting in the wings for more than a decade. It's an extremely exciting project up there with the best of the best copper deposits and with the added attraction of a significant gold endowment. Since the agreement was signed, there has been a change of government in Pakistan, but this is not expected to negatively impact the process. In fact, I'm due to meet the new Prime Minister later this month to review progress. Reko Diq is another good example of Barrick's partnership philosophy. We'll operate it, but it will be owned 50% by Barrick, 25% by well-established Pakistan state-owned enterprises and 25% by the province of Balochistan. The various underlying agreements are currently being finalized. And when that's done, we'll start to update the existing feasibility study, which should take around 24 months. As such, Reko Diq could be in production in 5 to 6 years, a very short-term -- short timeframe for a mine of this size. Turning now to Africa and the Middle East. This region finished the quarter ahead of its gold production plan on the back of the usual strong performance from the flagship Loulo-Gounkoto and Kibali operations. At Loulo-Gounkoto, the key production driver was higher grades. Per ounce cost metrics were well managed despite the impact of higher energy prices and increased logistics costs from the continued sanctions and border closures imposed on Mali by ECOWAS, albeit operations at Loulo-Gounkoto remain unaffected.  The Loulo district’s key mineralized corridors continue to deliver exciting results. Bambadji across the border in Senegal is one of the more prospective pieces of ground in our West African portfolio. And the team there is prioritizing large controls likely to host potential significant deposits. At Loulo, drilling north of the previously mined P129 satellite deposit has also defined mineralization over 600 meters with some high-grade intercepts while the results have also highlighted the potential to extend the Faraba Complex satellite deposits. As we planned, production in Kibali was lower than the previous quarters due to planned maintenance and waste stripping. Production is expected to improve this quarter and the mine, like the others remain on track to achieve its annual guidance. Like Loulo, Kibali continues to maintain its record of replacing reserves depleted through mining. Resource conversion drilling from underground is successfully defining the potential for sustained growth over and above depletion for both 2022 and beyond. And in Tanzania, both North Mara and Bulyanhulu are on track to meet their annual guidance. The quarter 1 performance largely reflects the impact of planned maintenance at North Mara and the development of new headings plus the removal of legacy underground waste at Bulyanhulu. North Mara's ramp-up of its open pit operations is on schedule, and the project is designed to further derisk the mine by providing it with another source of mill feed and improved production flexibility. A quick look at the copper portfolio. With Jabal Sayid and Zaldívar both delivered production and costs that were in line with or better than guidance. Zaldívar's chloride project was commissioned providing the infrastructure for enhancing future production. And as expected, waste stripping impacted on Lumwana's production, but its performance is forecast to improve steadily throughout the year. Exploration at Lumwana continues to access multiple targets in parallel, redefining the geological models for existing targets and identifying new projects. The overall aim is the definition of an alternate ore source that can provide production flexibility whilst the Chimi super pit pre-stripping and associated infrastructure upgrades are completed. Early results from ongoing drilling at the Lubwe target are encouraging and show the potential to extend the mineralization of further 1 kilometer to the North. So with gold prices remaining high, driven by global geopolitical and economic fears, it's worth noting the unparalleled leverage our portfolio of 6 Tier 1 gold mines gives Barrick. For every $100 per ounce rise in the gold price, the attributable free cash flow generation generated by our operations over a 5-year period increases by around $1.5 billion. The same is true of our copper assets. For every $0.50 per pound increase in the copper price, the attributable free cash flow generated by those mines over 5 years, rises by about $800 million. And strong cash flows generate peer-leading returns to shareholders as shown in this slide. The distribution policy inaugurated this quarter effectively doubled the dividend by adding a $0.10 per share performance element to the $0.10 per share base dividend. On an annualized basis, this equates to a yield of approximately 3.5%. The new formula also has the advantage of giving the market guidance on a potential future dividend streams. And while we don't believe our current share price fairly reflects its inherent value, it has performed respect respectively, against the spot gold price and the GDX has shown for these periods. And this leads me to what I believe is the compelling thesis for investing in Barrick. It includes the peerless quality of our asset base, our proven long-term strategy combined with reality-based implementation plans, our ability to more than replenish our reserves, and our long constantly replenished prospect pipeline, our approach to sustainability, characterized by tangible on-the-ground action and measurable results, and of course, the strength of our balance sheet. But perhaps the characteristic that most distinguishes Barrick from its peers is our focus on Tier 1 assets, selected against a set of very clear investment criteria and supported by our ability to operate in both developed and developing countries. There's an old saying that if you're looking for elephants, you have to go to elephant country. We've searched for and found Tier 1 assets in parts of the world that presented challenges that daunted other mining companies and then proceeded to successfully develop and operate them. Whilst we continue to invest in pursuing new Tier 1 opportunities across all 3 regions in which we operate, our next stop right now looks to be Pakistan, where we once again -- where once again perseverance, partnership and patience have put us on track to deliver one of the world's greatest mining opportunities to our shareholders, our partners and all our other key stakeholders. Ladies and gentlemen, thank you for your attention, and the team and I are happy to take any questions.
Operator: [Operator Instructions]. Our first question is from Greg Barnes with TD Securities.
Greg Barnes: Mark, I just want to understand the timing around the permitting of the new tailings facility at Pueblo Viejo. You said you're going to file an ESIA in Q3. So that would suggest you've picked the site. I was wondering how long it's going to take the government to approve that site. And then the site you've picked, is there going to be a significant delta in the capital cost for the PV expansion, depending on which side you do pick. How much will the CapEx potentially change, up or down?
Mark Bristow: Just to take you through, I think we've shared this with you before. We've been through a lot of sites, more than city, but we really got down and evaluated around 22 sites. We shortened that down to 5 sites, and then we passed all our assessments, we used 2 independent engineering firms to audit our process and pass it back to government. And as a consequence, the government then reviewed our selection criteria, we have -- as the government announced, reached an agreement on a way forward for the final selection of the sites. We are looking at 2 sites at the moment, both in the same provinces which the mine is located. And we're currently doing invasive evaluation for the foundations of the walls and also making sure that we don't have any open aquifers that might put the storage of material at risk and whether we have to line it or not. And that work is -- we should be ready to file our -- make a final decision. And of course, we will file that application with the -- all the information with the government. And on that basis, we will already have collected the key technical data, so that we are ready to make the application for the environmental permit. And that will -- we are forecasting to do that early Q3. And then it's a matter -- and we're working alongside the government in this process. And so we don't see any reason that, that process won't continue as it has in the last couple of quarters. And our plan is that we should certainly be in a position to determine that, that project is now approved and it's continuing exactly when we get the -- the final permit might be end of this year -- towards the end of this year or even early next year, but that doesn't -- that won't change the process. So that's the first part of your question. And we are engage now in consultation. We have a couple of infrastructure to finalize. The first one is we're going to be moving the material on a conveyor belt. And so that requires consultation as far as people that will -- might be affected by that infrastructure. And then, of course, as part of our evaluation, we are also consulting with the communities that might be impacted by the final decision. And again, as we indicated originally, we're also looking at a buffer zone. So there are some common areas no matter what the final decision is, which will also involve relocation. And we've done the first round of consultation on that basis. On the cost side, the costs -- the original estimate is around $1.4 billion, $900 million odd for the expansion of the plant and that associated infrastructure. And then the rest looking to the tailings dam, I think between [$800 and $900]. So between [$500 and $600] was earmarked for the tailings and waste rock storage. The final estimates will come with the final designs or they're more advanced designs once we've got the foundation drilling done particularly on the dam wall. As you know, this wall has to be like the current Llagal wall, it's a seismic area. So it's a highly engineered bit of infrastructure. It will also, just to make it clear, we build the wall as we go. We don't build the wall complete right in the beginning. The facilities that we have shortlisted certainly cover the current forecast life beyond 2040 and some. And so the -- I'm walking around the capital estimate. We will update that capital estimate as we start finalizing at least the scope of the design, particularly the wall infrastructure. And there are some offsets that we're looking at. We've got some opportunities to create quarries within or immediately adjacent to one of the sites, and that would impact materially the cost -- the long-term cost. And there are a number of other influences. I think we're very comfortable with our estimates on the relocation costs and we do have a very broad-based support for the sites that we've currently chosen. So we've currently prioritized, I would add. So that's really where we are today. And Greg, the returns of this asset are significant. They certainly meet in any conceivable capital cost, our 15% return based on $1,200 gold and $2.75 copper. We don't -- we've got copper, we don't produce it at this stage in Pueblo Viejo, but it passes the test. So we're very comfortable about this project. It's a very significant project and it really realizes the original Pueblo Viejo investment back 10 years ago.
Greg Barnes: So how far away are the 2 sites from the plant and how many people have to be relocated approximately.
Mark Bristow: They're the closest of all the sites. Grant, do you want to comment on that?
Grant Beringer: Yes. So as you said, the sites are fairly close to the mine and not too far from the existing tailings facility itself. I mean in terms of the numbers around the resettlement, that's something we still need to get to grips with and get on to the ground and start doing those surveys. So that's underway at the moment, and we'll have a clearer picture of the exact numbers in the next couple of months.
Mark Bristow: And Greg, as soon as we've got it, this is a process. As soon as we have definitive framework agreements, we'll share to the market immediately.
Operator: The next question is from Cleve Rueckert with UBS.
Cleveland Rueckert: I wanted to just zoom out a little bit and I think kind of like big picture on what the guidance means. I think gold prices and copper prices, they're tracking maybe a little bit higher about in line with where they were in Q1. Mark, you talked about, I think, production sort of rising and you should get some cost absorption there and costs fall. Is there any reason to think that free cash flow wouldn't be higher sequentially in the second quarter than what it was in the first quarter?
Mark Bristow: Sure. That's a fair observation. But let me -- this all is impacted by tax and when we pay tax. I'll pass it on to Graham, he'll take you through that.
Graham Shuttleworth: Yes, that's right, Mark. It's very important to note, the second quarter is traditionally our lowest cash flow quarter. And that's driven by 2 key factors. The first is that we pay interest on our bonds semiannually, so that's second quarter and the fourth quarter. And then the second quarter also has our highest cash tax payments. That's generally when we make the most significant payment. So when we look at our own internal forecast for cash flow, quarter 2 is noticeably lower. That said, we will see some benefits from some of the Kibali cash distributions that came through in the first part of the second quarter. So that will assist, but it is generally our lowest cash flow quarter.
Cleveland Rueckert: Okay. All right. That's helpful to understand. And then I guess, just sort of taking that 1 step further, sticking on the capital allocation theme, you didn't buy back any stock in Q1. I think at the pace you're going, you're very quickly going to be sort of up in the top level of the graduated dividend framework. If you sort of get to that top level where the dividend -- the special performance dividend is maxed out, would you think about raising it? I mean is that the point where you would start to buy back stock? Or should we think about the buyback maybe as more opportunistic relative to the share price?
Mark Bristow: The first -- last part of your question first, and that is if we get to that level, that's a high-class problem, and we'll manage it when we get there. I think the key about the ability to buy back stop was that last year, we got caught where the market. Our share price really got undervalued significantly and we realized we didn't have a tool to deal with that. We had too many shorts in our stock and it would have been great to just go and buy up the stock and burn off the shorts. And so we now have that tool available. And that's exactly what it's for is when we feel that on a relative basis, our stock price is underperforming and there's sort of intervention or people impacting it investment and strategies impacting it, we'll definitely buy back that stock. The current situation, as you know, is a very fluid situation, and we are monitoring the market and of course, the equity values almost on a daily basis.
Cleveland Rueckert: Okay. We'll just stay tuned on the dividend.
Mark Bristow: You do that.
Operator: The next question is from Matthew Murphy with Barclays.
Matthew Murphy: Just had one on the gold unit cost guidance, $730 to $790 now headed to the higher end. Just wondering if you can break down some of the drivers, I guess, if you go from the midpoint to the high end, call it, $30 an ounce like would half of that be your energy price assumption? That's the kind of breakdown I'm wondering about.
Mark Bristow: So I'm going to pass this to Graham on the granular answer. But I just want to also point out, Matt, the lower production this quarter as we lift the production get back to guidance, we'll temper that unit cost profile. So this is not the base on which to work on just to give it some perspective. But again, Graham, do you want to pick on the detail?
Graham Shuttleworth: Yes. So Matt, you're right. The biggest chunk of that cost driver is very much energy prices, so both diesel and gas. We previously given sensitivities on that and where we're effectively guiding that for every $1 change in the barrel price of oil, that gives us about a 6% increase on our total cash costs. So when you look at energy prices from where we were previously looking at sort of $70 and now they're over $100, you can see that, that makes up the biggest chunk of that movement and then gas on top of it as well. And then the rest is really, I would say, more specific commodities where we're seeing price pressure, things like ammonia nitrate, cyanide, steel balls, those sort of areas. And a lot of those have been specifically impacted through the Ukraine crisis where you've had suppliers, either in Russia or Ukraine that are no longer available. And therefore, you're seeing a bit of a squeeze on those markets or they are related to sort of petrochemical industry and therefore, same drivers as the underlying increase in the diesel price. So those are the biggest changes.
Matthew Murphy: Got it. Okay. And then I saw you're trying to hire for Goldrush. Just wondering how you're seeing the Nevada labor market these days.
Graham Shuttleworth: Sorry, Matt, just one thing, just a correction. I said 6%, but I meant $6 per ounce for every $10 change in the barrel, just to be clear.
Mark Bristow: So the labor market -- Matt, I think the -- we've been restructuring the whole Barrick Human Resource, so we had Graham. We want -- I've just finished a global engagement on all our operations with our executive teams looking at progressing our vision of much flatter structures, deeper reach into our organization, more accountability at levels, taking out management levels because -- and also, we have a very big commitment to education, both upskilling technical skills and educating right at the base from high school across the globe. And whilst there is a tightness in the supervision forma-based areas of Nevada, we've just -- so we replaced about 90% of the people we employed last year we've retained. So again, as we change the profile of our employment base, we're slightly higher on the turnover. But this year-to-date, we've replaced significantly more than what -- than the resignations or leaving. So I think for me, it's a challenge.  But at the same time, it's a significant opportunity as we look to give people more accountability, pay people more, pay people differently and position, particularly in Nevada, for a more modern way of mining. And we've done an enormous amount of work in Latin America. Mark Hill and the team were much more aligned with my vision of how we employ and how we pay. Africa has done extremely well. And as I pointed out in my presentation, to we -- our succession efforts are really paying dividends. And you'll see as we progress and we've appointed senior executives, both through promotion or succession and from external sources. We've been able to do that without having to say, oh, so and so is retiring and we're waiting to fill that position. We've done it well within the time. We've got good transition plans to ensure that we have continuity in our operations. And again, our focus has been to beef up on our senior, what we call big mine general managers, some of the more important skills that that are under pressure, investing in those. And so, it is a point that we have to manage in the market. At the same time, as I said, it's an opportunity for us to redefine some of our management and leadership structures across the Group.
Operator: The next question is from Anita Soni with CIBC.
Anita Soni: I just wanted to get a little bit of clarity on that cost number. You said it's headed towards the higher end of the $730 to $790 guidance range. And I think you said moving to the order of about 2% to 3% as a result of higher oil prices. So is that 2% to 3% over the $790 or is that just the 2% to 3% that's getting you out of the midrange and towards the $790.
Mark Bristow: The latter, it's the latter. But I need to point out that there's no magic in managing inflation. It is what it is. We've still got some -- we've been really focused on synergies and efficiencies. And we've just finished rolling out our a new global platform, data platform with all the bolt-ons. So we have real-time data. We can process from ore bodies to mine plans and our managers and operators have access to that real-time data. And all that is -- and we're -- there's no other mining camp that's done that. And we've used the latest, latest technology to develop that platform. So that's very helpful. As you know, Anita, we're very agile and obsessed about our numbers and the ability to respond intra-day to changes. And that's where our team is going. So yes, we've got inflation pressures, but we've also got opportunities -- synergy opportunities and continued improvements that will help mitigate that inflationary pressure. But as you've seen, we've adjusted it upward again at this presentation and we're going to keep a very sharp focus on inflation and how we manage that.
Anita Soni: Okay. That's a good answer. And then the second question was with regards to the CapEx. So I think I had -- you guys, you spent $611 million this quarter. And I think the guide was 1.9 to 2.2. So it's a little over on a quarterly run rate, and it's actually kind of bucking the trend of what everyone else has done, which has been underspending. So good that you're finding people to do the work because that's a different problem if you can't do that. But does that mean that the -- you'll revert back towards the guidance of 1.9 to 2.2 or could we see this level of spending sustained?
Mark Bristow: No, I think we're -- it's also where our big projects are. And remember, we're coming to the end of the #3 shaft and some of the big projects and ongoing capital, the PV expansion. So it's just the way it's profiled. And I'm glad you recognize that we are spending the capital. So that's important to many business to be able to deliver on the benefits of those expansion or efficiency projects.
Anita Soni: Otherwise, you have production problems later on.
Operator: Your next question is from Lawson Winder with Bank of America.
Lawson Winder: Mark, thank you for today's update. Maybe at risk of putting too fine of a point on it. I'd like to just add quickly again about the buyback. So you have stated in the release that you'll acquire your shares when they're trading below what you consider intrinsic value. And you just recently earlier on the call, mentioned that you'll enter when it's relatively underperforming. And I guess it would just be kind of helpful for me anyway to sort of square those 2? Is intrinsic value perhaps than based on a bit of a moving gold price target?
Mark Bristow: Yes. I think there's many variables that impact that along with the actual market itself, Lawson. So I think you are putting too fine focus on this decision. I think what we don't want to do is get court like we did last year and don't have any tools to deal with a very soft share price. So I think right now, we're -- it's an interesting time. I think also you need to put my strategy and perspective. When we set out to build this new value-focused organization, one of the key focuses was get rid of the debt, clean up and make sure we focus on the best people to run our top quality assets, but also what we -- this quarter, quarter 1, was a very significant quarter. We dealt with a lot of critical points, things that we're worrying analysts and shareholders alike. But also, we strengthened the balance sheet is now makes us independent of the market. And so we're a very different organization than we were just 3 years ago. And we've got an environment ahead of us that, I believe, is nobody listening to this call or probably very few have been there before to see hyperinflation, and again, the de-globalization of those sort of stable years of the late -- the back end of last century.  And so managing a situation like this, you need the balance sheet strength. Again, we didn't just transact and keep all their assets. We trimmed them down making sure we keep those that can manage the cycle. So all that is a part of it. And the share buyback strategy is an integral part of that. We are completely focused on making sure that our shareholders are protected and benefit from our business in a material manner.
Lawson Winder: And if I may ask one more question. Just your latest thoughts on the potential to grow copper production in Zambia and in particular, what do you see as the basis for growth there, whether it be an expansion at Lumwana or building a new mine or potentially acquiring existing assets?
Mark Bristow: So the opportunities have to be all of what you point to. Right now, our focus is still delivering a more efficient, streamlined the mine, we are forecasting significant improvements in production in our life of mine plan. Just on Lumwana, I touched on the opportunity we've uncovered to build some more flexibility into the operation. Zambia is a country with a new government that's rarely business-friendly and so a lot of the conflicts in the industry, which led to investors and mining companies leaving and disposing of the assets that's sort of gone away. At the same time, as we keep reinforcing, we are very disciplined in looking for opportunities that our investment filters. And so again, right now in this phase of the market discovery is a good thing. And we have beefed up our exploration competency in the Central African copper belt, and we're definitely focused on building the models and making sure that we pursue opportunities. And of course, the Zambian government is very open and extremely willing to work with any long-term investor. And so we have built a strong relationship with them and particularly the President and so let's see what it brings. And of course, again, there's some stranded infrastructure in Zambia and Lumwana is a concentrate producer. So we look at everything. If it fits our criteria, we'll pursue it. If it doesn't -- one thing we can demonstrate is Zambia meets our long-term filters as we speak today, and it passes the investment test at $2.75 copper.
Operator: The next question is from Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: A lot of them have been answered, but I do have 3 remaining, 3 quick ones. The first one is just on -- and thank you for the quarterly guidance that you provided on the assets within your press release. Just though from a bigger picture, maybe Mark or Graham, can you guide us whether we are seeing progressive quarter-over-quarter improvement with a strong Q4 and sort of a portfolio, are we 45-55 production first half, second or are we sort of 48-52. I'm just trying to get a feel for the portfolio quarter-over-quarter and then first half, second half.
Mark Bristow: I would say, of course, what we do when you have these back-end weighted profiles, Tonya, to try and bring them forward. So that's the focus right now is bringing some of the quarter 4 production forward. And we've got big commissionings and ramp-ups, particularly at Turquoise Ridge. Goldrush, right at the end, there's an opportunity there because Cortez moved quite quickly up the value curve towards 1 million ounces starting next year. And so we want to get that up and running. Your 45-48, 52-55 somewhere between those ranges is probably realistic. Graham, do you want to add anything to that?
Graham Shuttleworth: Yes. No, I think that's right. I mean.
Mark Bristow: It'll be nice to be in the middle of those 2 ranges, but somewhere around there.
Tanya Jakusconek: With quarter-over-quarter improvement?
Graham Shuttleworth: Yes, that's right. Tanya, it's a progressive project.
Tanya Jakusconek: Perfect. That's the easy one. I wanted to come back just on the inflation. I know that about 40% of your cost structure is labor. So I just wanted to make sure on that front: one, if you are seeing any labor pressures; and two, if you are -- if you have any labor agreements that need to be renegotiated this year?
Mark Bristow: So I think the team in Nevada has done an excellent job on negotiating with the 1 union team that we've got, that we inherited in the deal with Newmont, and that's established and set for another year. And again, labor engagements mostly in South America and Africa, we were largely through them. And that's normal course of business. We're not seeing that sort of inflation across the other regions. It's really the United States. And again, we're managing it Tanya. It's not -- it's difficult, but it's also what we're finding is that the -- when we employ people, we're not short of applications. And when we were employing them and one of the things we really obsessed about is -- we want people to join us that are aligned with our vision and our DNA. And we don't see people as numbers that come and go. We are very focused on building that human capital foundation. So yes, and the U.S. has is really -- and it's the way that the U.S. labor market has responded to COVID and the alternative opportunities, and of course, you've got some new projects being developed and the juniors are promising mines and employing people. So all those -- that dynamic is real. But I wouldn't say that it's a that's why we run companies as we manage people.
Tanya Jakusconek: Okay. So that sounds like you don't have any contracts due this year.
Mark Bristow: No, no, we've got no contracts that would risk our organization.
Tanya Jakusconek : And maybe it's the same on the supply chain contracts you have any for renewal, like finite or anything like that.
Mark Bristow: No. We are -- we've, again, taken out hundreds of millions of dollars out of the supply chain procurement costs in Barrick. And we still got some way to go before we're comfortable that we're superefficient. And we've -- Riaan Grobler and the team across the group have done a remarkable job managing -- we come from that background, very dynamic situation. And we've managed the COVID impacts. We managed the ECOWAS sanctioning of Mali, which brought challenges on the logistics side. We're now managing the Eastern Europe crisis, along with what you have not talked about the impact of the COVID lockdowns in China. And again, what we did is when we -- when we put the 2 companies together, we slimmed down our inventory, our store inventory down to a month because we needed to clean up all the working capital. When COVID hit, we jacked that up to 3 months, with the crisis unfolding and there was lots of warning that was coming, we were already running around and moving some of our Eastern European potential paced consumables up to 5 months. And we're pretty much in that base. On the contracts, we have long-term contracts. So that's the first thing we did is renegotiate and put in long-term contracts and work more on a partnership basis. But -- there's -- in times like this, there's the sort of knee-jerk reaction where people use the concept of inflation to widen their margin, particularly on the supply side, and there are others that work open box with us, and we will definitely work with them to make sure that they stay in business profitably. And so it's -- we don't look at it as just -- and that's why we've got a very effective supply chain partners. We will manage this because the one thing we don't want is service providers to go out of business.
Tanya Jakusconek: Okay. So nothing there. And then just on the -- you mentioned in the beginning that you had in your guidance just reflected a 5% inflation and now you're seeing 3% more, so it puts you at 8% on the cost side, operating costs. Can you comment on the capital side? Everyone's focusing on the operating costs, but we haven't heard much about what's happening. What are you seeing on the capital side as you continue some of your mine builds?
Mark Bristow: And the big capital projects, as we've indicated before, the big pressure at the moment is steel costs, and we prepurchased most of our steel certainly for PV and for the Turquoise Ridge #3 shaft. And again, we trade that quite actively. We are our owner representative. So we manage that risk. There has been some impact on the timing in Pueblo Viejo, which we shared with you last quarter because of the logistics impact and getting some of the steel -- manufactured steel into Dominican Republic. But again, that's all baked into our forecast. So as we speak today, there's -- there's no material impact on our -- any of our capital projects. Graham?
Graham Shuttleworth: No, not on the growth projects. I would just say on -- obviously, on the sustaining capital, quite a bit of the capital there is stripping, and clearly, that does have an energy component to it. So some small pressure there, but we don't expect to be going outside of our guidance on capital.
Tanya Jakusconek: Okay. And then my final question, if I could, was just on Porgera. Mark, I think you said that negotiations are going well, but it looks like we've slipped a quarter. So we're going into Q3 2022 for a start-up. Does that still give us -- does that still mean that it would be Q2 of 2023 that we saw? I think it was 6 months, right, to ramp up to full capacity. So should I be thinking Q2 of 2023 as a full ramp-up stage for that operation?
Mark Bristow:  Yes, that's a reasonable assumption. Of course, while we delay, we are still doing preparation work. So we can't do physical mining, but we can work on making sure our equipment is properly serviced and ready to operate, et cetera, et cetera. The big challenge is going to be employing the people. We've got about 1,000 people employed at the moment. We've got to go to -- I want to say, 2,500. And then just to update you where we are, we've signed the PPCA, and most importantly, you would have seen ahead of the elections because parliament stops passing the legislation now out to the elections. We got the approval of all the related legislation that needs to endorse our framework agreement. So that's all in place, which is very material for us. And we have one signature outstanding on the shareholders' agreement, which we need to incorporate the new program company and the -- and with that apply for the SML, the Special Mining License, a sound SML, and that's part of our agreement. And as soon as we get that sorted out, we'll be able to then apply for the SML and then it's a procedural thing we work with Mineral Resources Authority and we deal with the issues and we'll be moving forward. And we're saying we should be at a place to formally start around October at this stage. Remember, there's elections now, too. So it's going to impact on our planning.
Tanya Jakusconek: Okay. So October, so 6 months after that, so mid-'23 for start-up.
Mark Bristow: Yes.
Operator: The next question is from Mike Parkin with National Bank.
Michael Parkin: With respect to PV, can you just remind us what your current tailings facility has in terms of capacity? And where -- is there a tight spot in terms of getting the new one approved and constructed and ready for initial deposits of tailings versus when the current one gets built up?
Mark Bristow: So the -- we've got headroom out to 2027 with some additional investments. And we expect to be ready to process that long before that. I don't know -- Grant, do you have -- are you on the call or John Steele, maybe you want to just give the detail.
Grant Beringer: Yes, you're right, Mark, 2027 in terms of the current design of the facility, at least what we have already built is, there is a buffer there where we could raise the wall further. But based on the schedule that we have now, we don't see that as necessary. But as I say, there is that effect while we construct the new TSF. John, is there anything you want to add?
John Steele: No, that's correct, Grant. We've got the 5 years up until 265 meters. And we can go to an extra 3 meters on that facility with the redesign. So we're comfortable that we have the time on Llagal to allow us to get the next TSF ready.
Mark Bristow: Mike, does that answer your question? Thanks, John. Thanks, Grant.
Michael Parkin: Yes. If you decide to exercise an additional 3-meter lift that doesn't require any government approval, that's all in the...
Mark Bristow: Yes, it's capital. We prefer not to do it. And right now, there's no plans to do it.
Operator: The next question is from Jatinder Goel with BNP Paribas.
Jatinder Goel: I got a question related to your record analogy, Mark. While acknowledging your experience of working in challenging jurisdiction, the question is more about risk assessment, which is how do you ensure that there aren't other potentially dangerous elements while looking for elephants. It's a country with no mining history, volatile regime and difficult history of the project itself. So how do you add a safety net against the non-elephants that might come across in the future? And as an example, related put in a loan for Mongolian project, including international agencies, but that didn't prevent the government to renegotiate the contract, which got concluded earlier this year. So just trying to understand your approach to risk assessment. And presumably, you've used the same copper and gold prices that you use for other large-scale projects. Have you used a bigger risk premium to make the IRR hurdle higher for this project?
Mark Bristow: So those project passes a hurdle rate of around 15% at $1,200 gold and $2.75 copper. It's -- we don't change that. And just to point out, risks are binary and mining. You either have a mine or you don't. And I would point out that it's unfair to suggest or blame the Mongolian government for the renegotiation of the Mongolian Rio Tinto investment. The reason was because Rio didn't deliver on the original plan and ran up a massive debt. So everyone -- every project has got a story. We have a very strong reputation of delivering on what we say. And that's the first track in building strong license to operate. This is an asset that has been effectively there for Barrick for over a decade. It's been a matter of dispute between Barrick and Pakistan government. And that dispute went to arbitration. It received award. It was awarded against, but at the same time, as you know, in Barrick and myself, we believe in finding solutions, not really focusing on fighting with our host country. And so the product of this negotiation, which I must say, so it took an enormous amount of effort from our negotiating team is a clear 50-50 as we've demonstrated is the right way to look at partnerships, both in Tanzania and more recently in Papua New Guinea.  And on the same time, it's the first time that the Balochistan province has been recognized and will receive a substantial component of the benefits of this investment. And again, our commitment to ensure that we start investing in the community and particularly on upskilling the Baloch people ahead of the mining operations. And there's so many things that have been neglected there. And one of them, for instance, is just the accessibility to potable water, for instance. And in Barrick's sense, we have 3 primary pillars and our commitment to our communities, potable water, primary health and primary education, all of which need improvement in that region. So we've worked in these sort of environments before my entire life working in these sort of environments. This is a perfect opportunity for the mining industry to demonstrate what it can bring to the economy of a country as we've been able to demonstrate in many parts of the world. So that's -- I think this is a very fair deal, it's a deal in which the government of Pakistan are investing in. So again, a new way of looking at it, we are bringing the international agencies, and it's a very material -- it's the biggest single investment Pakistan's seen and it has enormous social and economic impacts for the entire Pakistan country and then specifically the Balochistan province. So I'm very comfortable. Of course, there are going to be challenges and bumps along the road. But so far, our experience despite starting with sort of a conflict situation, the State of Pakistan and we've been through many governments, just to remind you in this process, has always upheld our agreements. And I think that bodes well for a long-term successful partnership with the people of Pakistan.
Jatinder Goel: Thanks, Mark, for the detailed explanation. Just to follow up briefly on the same project, is the decision to reactivate? Obviously, there is a long history and obviously, there was a dispute. But was there anything else competing against this project for capital as well, either organically or inorganically? Or is the quality of geology so attractive that other things just find it difficult to compete whatever is in your near-term time horizon.
Mark Bristow: So we've got another really big project in partnership with NOVAGOLD in Alaska, which we're moving forward on, as I indicated last time. I spoke in a public forum and the question was asked, they are mutually exclusive projects. We can afford -- you've seen our balance sheet. In my lifetime, I've built 3 mines at a time. And definitely, Barrick and its executive team within the 3 regions, every one of those teams are quite capable of shepherding a new Tier 1 asset into our portfolio. So Reko Diq fits under the LatAm, Asia Pacific region. We've still got the African region and the North American region and Donlin fits in under the North American region. So we are we are never going to sequence world-class assets that meet our filters. We're going to invest and bring them to account.
Operator: The next question is from Adam Josephson with KeyBanc.
Adam Josephson: Mark, you mentioned earlier just about your stock trading at a discount to what you consider to be at fair value. And on the last call, you talked about the discount to obviously Newmont. I'm just wondering how you think about -- you balance, your desire to invest in Tier 1 assets, which you obviously have many of against some investors' perception that there's more riskiness here because of your willingness to invest in what they consider risky jurisdictions. And so you're trying to do the right thing, but balance that with whatever investor perceptions are about the riskiness of your portfolio. So how do you kind of balance those 2 things given your belief that you continue to trade at a discount to fair value, presumably in part because of these perceptions.
Mark Bristow: Okay. So let me try and deal with that quite complicated question. The first part to it is, remember, if you look at the second last slide, our performance against the GDX is at -- we're above the GDX performance where you look at it over the last 12 months, 6 months or since we incorporated the joint venture or merged with Randgold. So we are performing in the market at the upper end. Of course, as you point out, Newmont recently has been higher than that. But this is a long-term game. And again, if you look at what we've come from a negative net debt of over $4 billion to a positive net debt of $700 million. So -- and when you look at our cash flow and you look at -- and we've paid out I mean, $3.5 billion of cash, both in the capital reduction, capital returns and the dividends to our shareholders over that 3 years.  So you've got to conclude that Barrick is very much a sustainably profitable mining company. And if you stop, and there are many examples of it, when you think I started Randgold with $10 million in 1995 and look where we've taken that and now Barrick. And you look at the big companies that were there in the market with us back in 1995, so many of them have disappeared because mining is a consumptive industry. And risk is how you manage it. And we just have to look at Chile and Peru today. If you look at the dynamics, the tax dynamics within the United States. And how it changes from one government to another. And you've seen us navigate challenges in across Africa. And the point is people miss the real point of mining, and that is if you can partner with your host country, you create value and you deliver meaningful change and a contribution to the economy and the people of your host country. That's called license to operate, which we all look at as some sort of intangible tag. It's a genuinely important component of our business in Barrick. And so -- and if you're going to go -- a bad asset in a good country, it's still a bad asset. A good asset in any country is a good asset. And to bring back your point about Mongolia is that it's how you exploit it and share the benefits of that exploitation that allows you to keep that asset or not. And I'd finish off by something I always say on that is, have you ever seen the landlord kick out a tenant that's paying full rental. That's really our philosophy on it. And we know because I know from experience, as we deliver on that, people will want to own our stock.
Adam Josephson: I really appreciate the market. And just one other question. Newmont was asked this as well about there's all this discussion about inflation for understandable reasons, and that prompted a question on their call about potentially revisiting their gold price assumption for budgeting purposes, is that something that you've considered and the way the pros and cons of and what is your thinking along those lines just given where gold is today.
Mark Bristow: Thing that we've said this is a market going back to 2001. We have a policy. It's a formulaic policy. We have -- that's why we've kept the gold price where it is. We don't make it up. We don't look at sort of who does what with the gold price and we set the long-term gold price based on input costs. And we have a reference point going back to 1998 where we built the model a specific bundle for exactly that reason. And we've used gold price -- our long-term gold price of $450 when the gold price was $260. And of course, as you know, in 2011 or 2010, when everyone chased the gold price up, and we stuck at $1,000. And so we've moved from $400, $450, $650 through the first decade of this century, stopped at $1,000 in 2010. And we moved up to $1,200 when we did the deal with Barrick because again, when you settle at the gold price without a cost impact, you impact your cutoff grade and also your production profile. And so yes, with inflation coming through on our costs, it makes sense that we will automatically and continue to review that. We do anyway because we run our reserves at $1,200 and our resources -- and we have full mine plans that support our resource estimates at $1,500. And we look at sensitivities all the time, right, quicken is group, that's their job. So there will be a time when the gold price will go down. And as there will be times when the gold price might -- the gold price we use might go down. So that's inevitable in an industry where the input costs are changing, and they're most definitely changing.
Adam Josephson : No, I just want -- I appreciate that. Just one follow-up to that. When might -- if you were to change your gold price assumption, when do you think that might be? Would it be end of this year? Is there any kind of timeline you could give us?
Mark Bristow: So we review the -- our reserves and the assumptions every end of the year as part of our declaration of our resources and reserves. So we're very comfortable that we remain profitable at our assumptions throughout this year because we've set those plans, and they are designed to make money at $1,200. So we've got a fair margin. And as we do every year, we will look at it when we come to reflect on our reserve statements for the end of this year.
Operator: The next question is from John Tumazos with John Tumazos Very Independent Research.
John Tumazos : Mark, thank you very much for your cost breakdowns in great detail. I see that the Nevada cost per tonne for open pit mining has risen 39.6% over 5 quarters. That's a very accurate measure of industry costs. It doesn't affect ore grade, doesn't involved ore grade. Your cash cost per ounce over 5 quarters have only risen 20.2%, and this was a bad quarter with low output, the next quarter should be lower. In the copper division, cash costs over 5 quarters have only risen 12.4%. I wish I was where you are and I could shine your shoes. How is the physics of your cost per ounce or cost per pound only rising 1/3 as much as mining cost per ton? It's that you're doing a great job of controlling costs.
Mark Bristow: So we're obsessed about controlling costs, but I think you've sort of laid out a metric that we wrestle with all the time, and I'll try and deal with it. So the copper cost, we -- Lumwana, when we already got our teeth into it, was very inefficient, and we effectively halved the cost of mining in Lumwana, and we're now just putting a new fleet. So you're going to see even better efficiencies. And of course, we are working an inflationary environment. And so there will be some cost creep on that. And that's the flow-through with Lumwana. The same goes for Jabal Sayid, which is really driven by our expansion of the mining -- the efficiencies of mining. So we've effectively increased the throughput or production by 50%. And as you know, in mining, the economies of scale are always win. And so we've dropped the grade in Jabal Sayid slightly, and -- but we've increased the efficiency with the same infrastructure. So we've increased the throughput and the copper production materially. And so that drives for copper, but copper was like a neglected part of our business. And so that's where the extra efficiency comes from. On Nevada, there's a big change in how we're managing. We've got some fleet that we have to use to shore up an old pits as part of our commitment to the First Nation. So that there's some inefficient mining there. We are also doing some big tailings upgrades. Again, we try and sequence that when we strip for mining purposes, so we can move the material to the tailings facility or the leach pads when we build new leach pads.  And again, the -- Greg and the team in Nevada have been looking at -- one of the next steps we've got an efficiency is looking across the Nevada Group and saying, are we allocating our fleets, both underground and surface in the most appropriate manner and still further breaking down the fences, so to speak, between our individuals, the 4 big operations we've got in Nevada. So again, you'll see that, that cost -- open cost will come down in Nevada. So those are really the drivers.  We've got some additional cost pressure in -- in Veladero, you would have seen and also we operated, as you correctly pointed out, a lower production for the group and particularly for Veladero. We are investing in a new fleet or secondhand, but relatively new fleet in Argentina, and that's going to bring with it some efficiencies as well. And then we are mobilizing fleet, which we haven't started yet, but we are mobilizing fleet for Porgera, which will in itself also bring significant improvements in our costs. So that's why I say when we talk about costs, they're very variable. You can't blame it all on inflation. Some of it is efficiency. Some of it is the age of the equipment and so on, but we really drive unit cost. That's how we run Barrick. We don't run per ounce, we run per tonne unit costs. I hope that answers your question.
John Tumazos: If I could follow up. Several years ago, the Nevada cost per tonne for Barrick was as low as $1.40 per tonne and appeared to be as good as anybody in the world or pretty close. Do you think it's possible to get back under $2 a tonne? And those costs per tonne were before the Newmont merger and whatever the hell that affected improvement or otherwise. But do you think it's possible to get to $2 a tonne again?
Mark Bristow: So $2, you need 300-tonne trucks and a big pit -- and Nevada's open pits are quite far apart now. There is some efficiencies in the colon pit. So -- but that's the point I'm making. And the real cost now has changed a lot. I think you're talking about 5 decades ago. I think long gone are the days where with a 300-tonne truck or a 170-tonne truck, which is most of the stuff that we use, you get down under $2. $2.20 in Zambia, we are close to that, sort of $2.20, $2.50 with big 300-tonne Komatsu.
Operator: There are no more questions on the conference call.
Mark Bristow: Well, thank you, everyone. That was quite an exhaustive set of questions. I appreciate the interest. We stayed the course to everyone how is sort of sweating under the lights, but appreciate your time and your interest. Again, we'll be seeing you, some of you in Miami next week, hopefully. And again, we'll be at Indaba for those who are going to Indaba and then some of our team will also be at PDAC in Toronto. And otherwise, please if you have any further questions, reach out to the team, we're always very committed to making sure that you get the right information. So thanks again. Have a good day.
Operator: This concludes today's conference call. Should you have any additional questions, please contact the Barrick Investor Relations department. You may now disconnect your lines. Thank you for participating, and have a pleasant day.